Operator: Good day, ladies and gentlemen, and welcome to the ABM Industries Fourth Quarter 2012 Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to introduce your host, Mr. Henrik Slipsager. You may begin, sir. 
Henrik Slipsager: Thank you. I'm Henrik Slipsager, President and CEO of ABM. Joining me today is Jim Lusk, Executive VP and Chief Financial Officer; Jim McClure and Tracy Price, Executive VPs of our operational part; and Sarah McConnell, Senior VP and General Counsel. Today, I'll provide a brief overview of our accomplishment for fiscal 2012. Jim Lusk will discuss the details of our financial results for the fourth quarter and fiscal year. I will then comment on the company's operational results for the Parking and Security segment for the fourth quarter before turning the call over to Jim McClure, who will discuss operational results for Janitorial services, and Tracy, who will discuss result for the Facility Solutions segment and comment on recent marketing achievements. Jim Lusk and I will conclude our prepared remarks with a review of strategy and outlook for fiscal 2013. There's a slide presentation that accompanies today's call. You may access this presentation now by going to our website at www.abm.com. And under Investor Relations, you will find -- you will see the Event and Presentation tab. Today's presentation will be the first listed. Sarah? 
Sarah McConnell: Thank you, Henrik. Please turn to Slide 2 of the presentation. Before we begin, I need to tell you that our presentation today contains predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in the slide that accompanies this presentation. During the course of this presentation, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the company's website under Investor Relations. 
Henrik Slipsager: Thank you, Sarah. Now please turn to Slide 4 for review of our fiscal 2012 accomplishments. Although bottom line results for the year were adversely impacted by a sluggish economy, environment and low government spending, ABM had a number of significant achievements for the year that I would like to mention. We produced record revenues of $4.3 billion. We generated cash flow from operations of approximately $151 million. This makes the third consecutive year ABM's cash flow from operations for $150 million and above. Free cash flow, defined as net cash flow from operations less capital expenditures for the year, was approximately $123 million. Negotiated 3 sites were transactions which closed in the new fiscal year. These acquisitions will enable ABM to expand our presence in 2 of our key verticals, aviation and health care. A quiet check to help expand the company's demand in mobile-based businesses generated 18% top line growth in our ABM Building and Energy Solutions business. Launched our new brand, OneABM campaign, and strengthened our marketing capabilities. Surpassed over 800 hundred locations, 360 million square feet of green cleaning. Reduced outstanding debt by $85 million. And returned over $31 million to shareholders in the form of dividends. 
 Now I'd like to turn over the call to Jim Lusk for a financial review of our fourth quarter and for the fiscal year ended October 31. Jim? 
James Lusk: Thank you, Henrik, and good morning, everyone. Turning to our fourth quarter of fiscal 2012 results on Slide 5. Revenues of $1.09 billion for the fourth quarter were up approximately 1% sequentially and 0.8% compared to the prior year. We achieved slight growth in revenues in our Janitorial and Parking segments and 4.1% growth in Security. Gross margins for the 2012 fourth quarter were 11.2%, a decrease of 10 basis points from 11.3% in the prior year period. SG&A expense for the fourth quarter decreased $2.8 million, or 3.4%, to $79.6 million. The fourth quarter of fiscal 2011 included a benefit of $3.7 million related to a refund of health insurance premiums paid to one of the company's health insurance providers. Amortization and intangible assets for the fourth quarter decreased $0.7 million to $5.3 million. The decrease was related to certain intangible assets being amortized using the sum of the year's digits methods, which results in declining amortization expense over the asset's useful life. 
 Interest expense decreased $1 million to $2.3 million and $3.3 million in the 2011 fourth quarter. The decrease was from lower average borrowings and average interest rates under the line of credit. The average outstanding balance of the company's line of credit was $269.2 million during the quarter as compared to an average balance of $346 million in the prior year-ago quarter. Our effective tax rate on income from continuing operations for the fourth quarter of 2012 was 21.8% compared to 41.8% in the prior year period. As previously communicated, the tax revision for the fourth quarter of fiscal 2012 included a benefit from a onetime discrete tax item associated with a prior acquisition. 
 Adjusted EBITDA, which excludes items impacting comparability, was $50.2 million for the 2012 fourth quarter, down $1.1 million from the prior year period. An increase of $1.8 million from Janitorial and Facility Solutions was offset by higher health and welfare expense at corporate. Fiscal 2011 included a $2.5 million benefit related to refund of health insurance premiums. 
 Looking at our financial results for the fiscal year ended October 31, 2012, also on Slide 5. Revenues were $4.3 billion, up 1.3% from the same period last year. The increase in revenues is the result of organic growth, acquisitions and expanded services with existing clients, partially offset by lower revenue from Government business and job cancellations, some of which were voluntary.
 Net income for the fiscal year was down 8.6% at $62.6 million or $1.14 per diluted share from $68.5 million or $1.27 per diluted share in the prior year period. The decrease of $5.9 million after tax is the result of the following: higher self-insurance expense of $3.8 million from claims related to prior years; $5.5 million higher expense associated with the settlement of certain legal cases; and a $2.5 million increase in labor cost for one additional working day in our Janitorial segment. These items were partially offset by lower interest expense of $3.5 million and a $3.2 million reduction in acquisition cost.
 Adjusted income from continuing operations for fiscal 2012 was $76.1 million or $1.39 per diluted share, essentially flat compared to $75 million or $1.39 per diluted share. 
 Now turning to Slide 6. Days sales outstanding at quarter end were 49 days, down 2 days on a sequential basis and flat year-over-year. Cash provided from operating activities for the quarter ended October 31, 2012, was $66.8 million, down $8.4 million or 11% compared to the same period in fiscal 2011. Income taxes paid increased $4.8 million in the fourth quarter fiscal 2012. Free cash flow, defined as net cash from operations less capital expenditures for the quarter, was $62.5 million. 
 Turning now to insurance. Final actuarial valuations were completed during the fourth quarter, covering certain minor self-insurance programs of the company. The results of the actuarial valuations were noncash decrease in the self-insurance reserves of $2.2 million pertaining to claims from prior -- from years prior to fiscal 2012. The aggregated adjustment for fiscal 2012 to self-insurance reserves was an increase of $7.3 million or $4.3 million after tax. 
 Moving to self-insurance claims paid during the quarter. The total expenditure was $22.5 million, up $2.1 million compared to $20.4 million for the fourth quarter of 2011. 
 I'll now turn the call back to Henrik. 
Henrik Slipsager: Thank you, Jim. Please go to Slides 7 and 8. I will now provide some brief highlights of our Parking and Security operations segments -- operating segments for the fourth quarter before turning the call over to Jim McClure for an update on Janitorial and Tracy Price for an update on Facility Solutions.
 Parking revenue was essentially flat for the quarter compared to the prior year, but operating profit was up nearly 2% due to higher margin jobs and effective management of operational costs. Security had another good quarter, continuing to post year-over-year gains in the top and bottom lines as the segment benefits from new business. Revenues were up again over 4%, while operating profit was up 2% despite higher legal expenses. Both Parking and Security ended the year with good momentum and I'm optimistic this will continue into fiscal 2013.
 Jim McClure will now discuss results for our Janitorial operations. Jim? 
James McClure: Thank you, Henrik. The Janitorial business ended the fiscal year on a good note with revenue up over 1% in the fourth quarter, operating profit up 4% and margins exceeding 6%. These were the best quarterly results of fiscal 2012 as the initiatives I mentioned in the third quarter call, vertical market focus and client retention, continue to benefit the Janitorial segment. We expanded our sales in high-tech hospitality and government verticals. TEGG revenue for the fourth quarter was approximately $40 million, up $1 million on a sequential basis and down $1 million on a year-over-year basis. 
 Moving to client retention for the fourth quarter. Janitorial achieved a rate of 94.2% compared to 93.2% for last fiscal year. Historically, Janitorial was running around 92%. I remain pleased with our progress on client retention, but the Janitorial organization must continue to focus on this critical initiative and others as we look to ways to offset some of the anticipated increases in the state unemployment insurance rates for fiscal 2013 and other items that could adversely impact Janitorial operating results. 
 Before turning the call over to Tracy, I want to make a comment regarding the impact of Hurricane Sandy on Janitorial operations. As we have all seen, the devastation and destruction in the private and commercial property was substantial. We feel for the people impacted. And despite our large population of employees on the East Coast, only a few sustained severe property damage. The senior management team in the northeast took the lead in responding to a number of issues impacting ABM's portfolio of clients located in the regions hit by Sandy. We have always maintained that one of ABM's competitive advantages is the size of our workforce and our ability to quickly respond to disasters. This unique capability enables ABM to work with our clients in quickly getting their property back to a safe operational state and minimizing the economic impact to their businesses. Our teams have done an outstanding job over the past 7 weeks, and we are grateful for their efforts. We are still analyzing what the effect on operating results will be for fiscal 2013. But for the fourth quarter of 2012, there was no material impact. 
 With that, I will turn the call over to Tracy. 
Tracy Price: Thank you, Jim. I'll provide an update on the Facility Solutions group. Q4 marked the turning point for us as we began to see improving trends in revenue and operating profit for the quarter as key contract wins I noted in the third quarter call have started to contribute to results. While revenue of $238.2 million was slightly lower compared to the fourth quarter of 2011, operating profit of $10.4 million was up over 13%. Excluding the Government business, revenue for FSG was up 8.2% compared to the same period last year. As anticipated, the Government business was adversely impacted by the loss of projects earlier in the fiscal year and as outlined on the third quarter call. The unanticipated swift withdrawal from Iraq can only happen once and that anniversary date is January. 
 In the fourth quarter, we saw an uptick in contract wins and we feel better about our backlog based on recent activity. I'm optimistic about 2013 and expect our Government team will grow revenue even if sequestration becomes a reality.
 ABM Building and Energy Solutions business, or ABS, which is our mobile platform, had another strong quarter by posting an increase of 7.9% in revenue and a 7.3% improvement in operating profit. For the fiscal year, ABS achieved revenue growth of approximately 18% compared to 2011. With the recently announced acquisition of Calvert-Jones and the integration of TEGG, our ABS business is strategically positioned to broaden existing vertical and geographic market offerings and to continue capturing a share of the market for energy efficiency project retrofits, a market opportunity by some estimates, which currently exceeds $5 million per year in sales and is projected to grow to over $16 billion by 2020. 
 Turning to Slide 9. 2012 has truly been a transformational year in terms of our rebranding and marketing initiatives. During the fourth quarter, we continue to gain exposure for our new brand and announcing key accomplishments, including our expanded relationship with AEG into Europe, the continued installation of EV Charging Stations. And we concluded the fiscal year by displaying our brand nationally when we rang the closing bell of New York Stock Exchange. 
 We began fiscal 2012 with the goal of communicating through rebranding and marketing programs, that the new ABM is people using their industry-specific knowledge along with the award-winning technology to deliver a suite of services beyond just building maintenance. We want our clients to see us as extending the life of their assets and continually adding new value. Despite economic headwinds and a year on uncertainties surrounding actions washing effect, we continue to make the investments in our business and our brand. And we launched key initiatives, including our ABM Energy Group, ABM On-Demand platform. Our unified workforce technology framework also strengthened ABM's capability as a leader in integrated facility solutions and position ABM for the next phase of our growth. 
 And with that, I'll turn the call back to Henrik and Jim Lusk for an update on our strategic plan and outlook for 2013. 
Henrik Slipsager: Thank you, Tracy. Still, it's important to spend some time on today's call sharing a few highlights from our updated strategic plan. We've reached a very critical stage in our company's evolution by continuously developing and improving our business, primarily towards additional service lines and focused growth strategy. This strategy has served the company very well for many, many years and has brought us to places we could only have imagined years ago. Our service lines have now reached critical mass throughout the U.S. We've been working diligently to create a new brand, which I'm very proud of, and have also focused on breaking down historical organizational walls to create oneABM. Every day, I hear success stories where key managers have reached across the aisles, if a colleague from another business unit become successful, and nothing makes me happier than just seeing this collaboration take place throughout the organization. 
 Our vision is to become a company where collaboration is part of our DNA, and our domain expertise and vertical market growth are generated through a strategic focus on geographical markets like never before.
 We're updating our strategy. We've been analyzing our marketplace, our competitors and our strategic strength. What we determined is that while it's important to take advantage of our strength and position ourselves as a leader in integrated facility solutions, as described in Slide 11, we must also address areas that have impeded our growth. We've embarked on a number of changes to reconfigure ABM's business model by focusing on a set of strategic levers, which impact our operations and the enterprise itself to provide a context via the factors impacting the near-term horizon for companies in the facility service market and ABM. We have uncertain economic growth. We have market pressures and pricing pressures and, last, we have consolidation of services and geography throughout the -- across the country and the globe. 
 Operations. ABM's operations model has been trade-based and servicing our clients globally, regionally and in certain cases, nationally. Operating under this model and expanding primarily through acquisitions over the past 10 years, ABM has achieved a 7.8% compounded annual growth rate for revenue and 11% for adjusted EBITDA in the time period. While these results is basically against some of the economic challenges we face are good, we haven't been able to crack the code of marketing our services across all lines until recently. To drive our OneABM initiative and ensure our clients and prospective clients know the full spectrum of ABM services and capabilities, refilling the following to improve our long-term growth prospects and operational results. Realigning the operational structures to accelerate the OneABM growth strategy by creating a market-based organization; integrating on-site service disciplines; and investing further in our ABM Mobile network and ABM On-Demand, which represents better long-term growth and higher margin opportunities as shown in Slides 12 and 13.
 Leading our on-site services is Jim McClure. These services include Janitorial, Security, Parking and on-site facility services. Tracy Price will continue to lead our ABM Mobile, ABM On-Demand and Government businesses. In addition to these business and corporate marketing, Tracy will take responsibility for corporate sales and other growth initiatives. Optimizing service delivery by deploying subject matter experts who collectively ensures standardized service in all virtually diverse client base and maximizing vertical marketing expertise to drive organic growth via targeted vertical segments where the growth and margin profiles are greater than our commercial-based business. 
 Our recent acquisitions of Air Serv with revenues of approximately $300 million and HHA with revenues of approximately $50 million are examples of investments we are making to increase our share of vertical market with very long-term growth profiles. With Air Serv, we acquired a business with an 11% compounded annual growth rate for organic revenue over the past 5 years and combining with our existing aviation business, demonstrates to client in this vertical our broad range of capabilities. Reasonably, we notified that we're in the final phase of a potential $25 million to $30 million contract by an energy project. It was one of the large U.S.-based air carriers in addition with these other contracts at Glasgow Airport, which is a new location for Air Serv. 
 Our acquisition of HHA gives us a health care vertical with over $200 million in sales, combined with our existing business. In addition, HHA provides ABM with an expanded portfolio of services and an entry point into a -- the $64 billion hospital market for housekeeping and food service. Organic revenue compound annual growth rate for HHA over the 5 years exceeds 20%, and we believe there will be some sales synergies from the market as well as existing health care clients in Clinical Engineering, Parking and Facility Solutions and enterprise. 
 The next set of strategic levers we'll be working on, which complements the operational initiative, focuses on our enterprise model. We made a number of critical investments over the past few years in our infrastructure such as operating our information technology systems, further consolidating back-office operations, improving business analytics and introducing biometric timekeeping programs. To create additional efficiencies leading to improved productivity and integrated salable system and processes, we plan on doing the following at the enterprise level: centralize up to 9% of the transactional activity and through the consolidated back-office operations by creating an enterprise service center; increase build analytics and operational support for forecasting and bid preparation; and implement a multifunctional contract management system to automate existing processes, as well as capturing key client information and billing parameters. Together, these processes and system improvements are expected to deliver cost savings annually of $5 million to $7 million once fully implemented over the next 18 to 24 months. For fiscal 2013 though, all of those savings generated will be used to fund additional investments we're making to grow our revenue and expand our vertical markets. 
 In summary, please turn to Slide 14. Our goal is to market and deliver services. OneABM is well underway. Over the next 2 fiscal years, we will continue to utilize the significant cash flow we've been generating annually by making strategic investments to broaden services, improving client-facing technology, as well as internal analytics, expanding and entering into vertical market with higher growth rates and margins, as well as leveraging a geographical footprint and skill set built over 100 years. We believe ABM is uniquely positioned to become the leader in integrated facility services. We're looking forward to providing an update on our plans and our processes we are making, integrating recent acquisitions early next year when we host our Investor Day. We hope that at this point in time, the fiscal cliff will have been resolved, and with that, the uncertainty and drag on the U.S. economy will be put to rest. 
 I will now turn the call over back to Jim Lusk. Jim? 
James Lusk: Please turn to Slide 15. For today's call, I'm going to provide a list of items that affect our current outlook for the 2013 fiscal year. The recent acquisitions are expected to be slightly accretive, excluding transaction and integration costs. Collectively, last 12-month revenue from the 3 acquisitions was approximately $350 million. Labor work days are 261, which is one work day less than fiscal 2012. The second quarter of fiscal 2013 has one fewer labor work day. The company estimates one work day of labor expense for Janitorial segment in the range of $3.5 million to $4.5 million on a pretax basis. 
 To drive long-term growth and strengthen ABM's competitive position, the company will be making additional investments in key growth initiatives identified in our strategy update. We anticipate the majority of these costs will be offset by our operational and enterprise initiatives to improve the expense-to-revenue ratio. We're anticipating a $1.5 million to $2.5 million increase in state unemployment insurance on a pretax basis. This is expected to mostly impact the first half of the fiscal year. 
 Annual depreciation and amortization expense because of the recent acquisitions, is expected to increase from fiscal 2012 in the range of $17 million to $19 million. Interest expense is anticipated to be in the range of $14 million to $16 million. Capital expenditures are expected to be in the range of $39 million to $43 million. Cash taxes are expected to be in the range of $23 million to $27 million, as the NOLs from the OneSource acquisition near full utilization. The effective tax rate is in the range of 38% to 40%. This assumes that the federal government extends the workers opportunity tax credits retroactively. 
 At this time, we'd like to open it up to questions. Operator? 
Operator: [Operator Instructions] Our first question comes from Joe Box with Keybanc Capital Markets. 
Joe Box: Question for either Jim Lusk or Tracy. If the Government business was down 34% this quarter, can you just give us the percentage declines from 1Q through 3Q, just to give us a sense of how we should comp next year? I guess -- I understand the comps are going to get easier in January, but just any color there would be helpful. 
James Lusk: I think, overall, given the fiscal cliff, we're not exactly sure what's going to happen with the government in general. We don't see too much of a short-term impact on us, but there are a lot of unknowns. That's one general surround about what's going to happen next year. 
Henrik Slipsager: Let me just add one thing, and that is I think the first quarter, you'll see pretty much the same decline year-over-year in the Government business. And coming to the second, third and fourth quarter year-over-year, you will see growth in the Government business year-over-year, if that responds to your question. 
Joe Box: That is helpful. Actually, I should specify that, I was looking for some backward-looking data. So what the percentage decline was in 1Q '12 through 3Q '12, so we could kind of really narrow down what the comps are? 
Henrik Slipsager: All right, I don't have that in front of me. Jim? 
James Lusk: Yes, don't have that in front of us, don't have it at our fingertips right now. 
Joe Box: Okay. I can just circle up to you guys after that. 
James Lusk: Yes. 
Henrik Slipsager: Yes, sure. Sorry about that. 
Joe Box: No worries. Tracy, you guys had good growth in the Facility Solutions business x the Government business. Other than your energy portfolio that has been growing pretty well, can you just maybe highlight where you've seen some of the growth and how we should think about growth in some of those areas going forward? 
Tracy Price: Sure. So I think if you look at the platform business for mobile, 4 to 5 businesses that we have in that group had record years. So if you look at our Mechanical business record year, our Lighting and Electrical business record year, our franchise business record year, so we're making investments in those groups. We have invested in sales headcount, as well as infrastructure, as well as new locations. So I believe that's going to continue and we feel very good about those mobile business platforms. The franchise business is our highest gross margin business as a company. With the acquisition of TEGG, we've been able to leverage across that enterprise, add additional services, bring a university system to TEGG that they didn't have before. So there's a lot of complementary elements there that are going to help grow that business group for us. The ABM Health business, with the acquisition of HHA, is going to take a significant leg up next year. We have a broad-based service offering there that we didn't have in the past, so we've expanded beyond clinical engineering to get into the other elements of the health care business that are important to us from a Facility Solutions perspective. So I think if you look at the mobile platform and then us adding on our on-demand capability, we really have kind of completed the service ecosystem for the ABM client. And we can provide the same level of services that we do in the on-site business across the entire enterprise and in virtually every market that we're in. So I think it's going to be pretty broad-based, and all of our projections for everything to do with our mobile service capability are showing growth for next year. 
Joe Box: Excellent. It looks like there's going to be a step-up in CapEx in 2013. Henrik, I know you talked about making some billing and technical investments. Other than that, I guess, can you just wash out what's driving the increase in CapEx and maybe how much is coming from some of the recent deals? 
Henrik Slipsager: Yes. A good piece of the CapEx, and maybe one day we should separate it from the rest, is our expected investments in operational assets such as buses in airports, et cetera, where it's basically a revenue-driven CapEx investment. So that -- we're going to see an increase in that this year based upon the investment we made at the aviation business with Air Serv. Other than that, it's pretty much standard. It is some investments related to the back-office on the IT side, but I would say, again, on a normalized annual year basis, a company like ours should be investing $20 million to $30 million. This year, we'll probably expect $40 million and that is associated with these extraordinary situations, which I think are pretty good situations. 
Operator: Our next question comes from Andrew Wittmann with Robert W. Baird & Co. 
Andrew J. Wittmann: Henrik, you kind of -- as you're going through the strategy review, you kind of identified that there's been some inhibitors to maybe better cooperation inside the company, cross-selling and what have you. Can you just talk about kind of -- give maybe a little bit more detail on what historically some of the inhibitors have been and that what you're doing today to break down those barriers to look more integrated? 
Henrik Slipsager: Yes, I'll be more than happy to. As you can imagine, a company like ours, we went into the different businesses at different times and there was probably a great will or tendency to try to separate yourselves from the Janitorial business, which was our big -- the big engine in the company. And if you were in the engineering world and hard world, et cetera, et cetera, I think you will try to get your own personality by getting as far away from Janitorial as humanly possible. And that's why you have the different names and the different entities starting at different times. At the same time, people were compensated only based upon their own areas of success. So theoretically, if you're sitting in Chicago or New York and you have a big janitorial contract, there's no incentive for this particular person to introduce his colleagues to that particular same job because the only thing they can actually do is putting his business in jeopardy and he will not make any more money by introducing new services to existing clients. So what we're doing now is, on a city-by-city basis, we're creating a market leader that will be responsible for all services. These subject matter experts below this market leader will all be compensated based upon the overall success of that particular marketplace, so we are driving and pushing cooperation and collaboration between each of these different, historically strong traits. We expect -- really, we expect both growth and we expect sizable synergies associated by eliminating a number of offices and create greater communication. This is on top of the vertical market strategy, which I think is pretty obvious what we're trying to do there. So those are the 2 main focuses with respect to the on-site. The last part is what you just heard Tracy was talking about, is the on-demand side and the mobile side, which we have a proven track record of growth in and we want to continue that growth. And we, as a matter of fact, hope we can accelerate that growth. So we're trying to focus on growth on 3 different areas and I think we're going to be pretty damn successful in it. 
Andrew J. Wittmann: But to be clear, some of these market leaders and some of these other -- people that are kind of charged with selling across the platform, are these incremental heads? And is this part of the offset why we're not going to see any near-term accretion from some of the back-office changes that you're making? I think you mentioned $5 million to $7 million in the next 18 to 24 months, but kind of -- it sounds like you're kind of managing that for the new term and expect that kind of to be back-end loaded. Are these incremental hedges kind of take away some of those cost synergies that otherwise you'll be seeing? 
Henrik Slipsager: No, they're not because it's not -- in general, I would never say never, but in general, these are existing individuals that will be picked based upon qualities and not based upon what division they're from. That key thing for us is finding the best person, the best individual, the best manager in a particular local market, local area. But things take time and the reason why we don't expect a greater synergy in the short term is we're already in December and a number of these savings are associated with leaseholds and with branch offices, et cetera, et cetera. Before you get it closed, it will be 6 or 8 months into the year. So there's some timing issues, not action issues that's delayed, but some timing issues with respect to realization of cost savings. So the cost savings will be there, but it's just a little slow due to the fact that things take time. 
Andrew J. Wittmann: Excellent. Jim, I wanted to dig a little bit into the acquisitions that you announced subsequent to the quarter end. And really, I guess, starting with -- you kind of outlined the kind of cumulative revenue that these 3 businesses delivered over the last 12 months. Can you give us -- we see that there are only -- at least for the first year, modestly accretive. Can you just give us a sense of what maybe like the EBITDA margins are so we can kind of understand the overall contribution here and maybe some sense about when we are going to see some of the accretion, assuming that some of the amortization charges will be burning off here? 
James Lusk: Yes, I mean, the acquisitions I said will be slightly accretive. I was kind of piggybacking, and what Henrik has said, it takes a while to integrate this stuff. Imagine we're on some of the years digits for things like amortization, so that tends to burden the first year more than the second year. These acquisitions have had really good revenue growth. They're profitable. But we'll talk more about that probably at our Analyst Day once we get a little bit more integration going. But slightly accretive is definitely what they'll be. You have things like you have to implement stocks in the first year and stuff like that. But I mean, these will be growth engines for us. They will -- yes, but they're focused on aviation and health care, which Henrik talked about as some of our sweet spots. So as we integrate that with our existing businesses, I think you'll see higher-than-average growth and profitability there than you've seen in some of the other places that we've had. 
Henrik Slipsager: Let me just add one thing. This is a 100 -- 304-year-old company. I've never seen buzz like this before in the company's history. And I'm actually looking forward to these calls in 3 or 4 or 5 quarters because I think you're going to see growth that you haven't seen before. And we are doing all the right things and the enthusiasm you feel is beyond my expectations. 
Andrew J. Wittmann: Just thinking back in some of the growth that's embedded in some of these acquisitions, can you just talk about the kind of underwriting hurdles or maybe the IRRs that you're looking for? Clearly, last quarter, you gave yourself another allocation opportunity with your own stock. And clearly, at $20 and just using $200 million outlay of capital here in the quarter, that could have been potentially a lot of shares to the tune of 15% -- no, 20% of the shares given today's share price, which could have led to certainly near-term accretion. That doesn't necessarily mean it's best for the long term, but could have been a lot more near-term accretion. Can you just talk a little bit about kind of how you look at the 2 opportunities and what -- maybe some of the IRR underwriting thresholds that you're using as you do some of these acquisitions? 
Henrik Slipsager: Absolutely, I'll be more than happy to. First of all, being a dividend paying organization, we've done that for many, many years, so we're trying to make sure that the shareholders do get returns every quarter. People can agree with that or disagree with that, but at least when they buy an ABM stock, they know what to expect. Secondly, to buy back stock will give us a very nice short-term effect, but I have to -- I think it's my job. I think the shareholders would like me to ensure long-term growth and long-term shareholder returns. And the IRR on those acquisitions will, both medium term and long term, way exceed the returns on buying back stock, in my opinion. 
Operator: [Operator Instructions] Our next question comes from Michael King with Imperial Capital. 
Michael Kim: Henrik, could you talk a little bit about the pricing environment in Janitorial and the level of plant retention, how you're balancing that with the -- I think you talked a little about some of the voluntary job cancellations, which I assume is related to some pricing? 
Henrik Slipsager: Yes. I think the pricing pressure is still there. I think the -- especially in Janitorial, I think the fact of life is that it's not only pricing pressures, but the cost pressure where we gave this 0.1% or 0.5% or 0.7% increases in SUI and other places. So it sneaks the -- there's the sneaky effect on the cost base of our business, but I don't think the pricing pressure is worse than it's been. We've seen some growth in Janitorial. This is -- you're not going to see 60% growth in Janitorial in our size, but we are actually seeing growth that we haven't seen in quite a long time. So overall, I think the competitive marketplace, if I should look across all lines of business, is probably equal to or maybe slightly better than we've seen in the last 2 or 3 or 4 years. 
Michael Kim: Okay. Great. And then just on the vertical market strategy, do you see an opportunity to leverage into adjacent verticals? Or is the primary focus in the near-term on expanding your presence in your core verticals? 
Henrik Slipsager: Well, first of all, we do plan to expand into other verticals at a later stage. We have these verticals pretty much isolated and know exactly what will be next, but we want to see and also prove internally in the organization that these 2 verticals we're looking at focusing on right now will show growth at a level that we haven't seen in our standardized trade organization. So it's a process where we're focusing on 2 and then hopefully in '14 and '15, you'll see us grow into 2 or 3 or 4 other vertical markets. 
Michael Kim: Okay. Great. And then switching gears to the Government business. As you look at second quarter of next year through the balance of the year, are you assuming some improvement in the budgetary environment just in the face of sequestration? Or do you have improved visibility just based on your backlog and some recent contract win? 
Henrik Slipsager: Well, it's a combination of a number of things, but I think we do hope that we're going to get -- first of all, a lot of opportunity by the government assuming the so-called fiscal cliff is not going to take place because I really don't know what's going to happen if, in fact, the fiscal cliff takes place. And I hope you can understand and appreciate that because I don't think anybody else knows either. And if they know, have him call me. But the key thing in what we see in government is the activity level is very high. We have been successful in a number of contracts, and we just hope that this contract will go the normal way, which means lead to an actual startup and delivering up the service. And if that's the case, we're going to see a very, very good year in our Government business, the GSO. We're crossing our fingers for some normality in that different kind of world. 
Michael Kim: Okay. And any update specifically on the DLITE contract? 
Henrik Slipsager: Yes. The update is we still haven't gotten anything. So there's clearly an upside. Year-over-year, the DLITE contract will not be lower, I can guarantee that. 
Operator: Our next question comes from Michael Gallo with CL King. 
Michael Gallo: Perhaps I missed, I joined a little bit late. Henrik, could you comment at all on what you're seeing near term on the non-government business as a result of the fiscal cliff? Is there a pause? Is there a reluctance to award contracts, just kind of frozen up until we get more or is the non-government stuff just kind of moving along steady as you go? 
Henrik Slipsager: I think you'll see a -- assuming there'll be a fiscal cliff, I think, of course, there'll be an impact in government. There'll be an impact for us on taxes, we mentioned that earlier, work tax credits, because we don't know if that's going to be implemented at all. But if you look at the traditional services, I think you can go back to '09 and see what happens in '09 and '10 with Janitorial, our standard facility services, Security and Parking. Parking was somewhat impacted with the recession due to traffic. It went down, but unemployment went up. But the other services, at least short term, was not very much impacted. There will be some pricing pressures, but I don't think you're going to see any major impact in '13 in those services. Clearly, what we're going to see impact will be energy retrofits in other areas, but people might not want to make an investment if there is no certainty in the marketplace. So overall, on our on-site businesses, I think very little impact on the mobile and the energy side. Some impact in the government service. Unknown government folks believe there's going to be relatively small impact in '13 and a big impact in '14. But again, we really don't know, but we speculate, that's why we don't want to give guidance because our guidance are going to be spread of $0.40 or $0.50, $0.60. We can't do that. So lack of knowledge and I think a lot of people are sitting in safety chairs and I'm sitting here right now, that we really don't have the knowledge to give you more information. Sorry, but that's where it is. 
Michael Gallo: Henrik, just a follow-up to that. Can you talk a little bit more about the acquisition of Air Serv? Will that add some additional cyclicality in the business given the size? Or would you expect that that's going to be pretty steady as well, assuming the environment gets more difficult? 
Henrik Slipsager: I don't think there's going to be more cyclicality to the business because of Air Serv. Air Serv is still based upon the same fundamentals as our on-site services with some exceptions. We did mention in the call that we might have gotten a sizable energy job in the Government business. And that is just an example of us going into a vertical and being able to introduce and utilize our capabilities and know-how to introduce new services to this particular vertical. But from a cyclicality point of view, it's not going to be different from what you've seen in the past, okay? 
Operator: Our next question is a follow-up from Andrew Wittmann with Robert W. Baird. 
Andrew J. Wittmann: Can you just remind us, Jim, how big the Government business was in terms of contribution to revenue in 2012 with some contracts there? 
James Lusk: Government business is about $150 million, round numbers, somewhere in that range. 
Henrik Slipsager: As long as they have some -- we have some income from some ventures we have that you won't see in the revenue line. 
James Lusk: And that's -- those numbers are our kind of federal government business. We have other Government business, if you will, but that's federal. 
Andrew J. Wittmann: That's the business that's been the challenging part, the $150 million plus, plus some -- plus most of that really are joint ventures, right, Henrik? 
Henrik Slipsager: Yes. The majority of that is Government business as well. 
Andrew J. Wittmann: Okay. 
Henrik Slipsager: It also represents, in my opinion, the size of the Government business that goes down from when we bought it, but represents, in my opinion, humongous opportunities. Very limited downside now compared to where we were and a humongous opportunity and upside. So got a great team there -- got a great team there. 
Andrew J. Wittmann: Yes. So as you -- and this is kind of asked before but I'll just ask a little bit more explicitly. Exclusive of the federal government exposed stuff, I mean, your business is probably one of the more visible businesses in terms of earnings outlook than many companies that I cover. Can you talk about in the kind of the business outlook x government in terms of what you see on the top line there? 
Henrik Slipsager: Well, again, I'll be happy to. It's -- it is -- you're right about one thing, we are, from that perspective, steady Eddie. Now we're trying to create a growth vehicle. So on top of being consistent on the earnings side, we also have growth built into the model. On the on-site services, you're going to see, again, very limited growth this year. In my opinion, you're going to see -- hopefully, we're going to see this 2% or 3% growth in the old businesses. We hope there's going to be some higher growth in the old security node, old parking business, as well as facility services. The growth will come from our mobile and our on-demand business. We've seen growth this year. We've seen growth the year before. It's all been double-digit and it looks very, very promising. So overall, I think you're going to see, in spite of a very difficult climate and in spite of maybe a fiscal cliff, we do not expect a doomsday scenario, but we just have no clue what the impact's going to be specifically on the Government business and specifically on taxes, et cetera. 
Andrew J. Wittmann: Very helpful, Henrik. The mobile and the on-demand, just to put that in context, can you talk about, maybe Jim, what that was in terms of percentage of revenue this past year? It's just hard to get this kind of detail in any of your filings, so this is very helpful to us. 
James Lusk: Yes. Revenue would probably be, what, it's 5%, 10%, somewhere in that range, the 10%. 
Andrew J. Wittmann: That's helpful. And then on the health care, I think that's clearly one of the more attractive end markets, Henrik, and clearly, you came in, in a pretty material way here after the quarter. Can you just talk about the strategy for the health care business from here? Is that a business that you can kind of take that platform that you've now acquired and grow that organically? Or is this probably an area for more acquisitions in the future? 
Henrik Slipsager: Yes, yes and yes. First of all, we had our own platform in form of ABM Health, which was developed in the old Linc Group and relatively small, but focusing very much on the clinical side, probably doing, last year, $50 million. With a little luck, we should do between $30 million and $40 million in that segment this year because we are hopeful that we're going to get a sizable contract very, very soon. What we bought was primarily business in the facility side. What I mean by that is it's taking over the hospital itself, but also included very small fees, but interesting fees in the form of food service. So for the first time, we will be able to provide a complete service package to hospitals. We've not done that in the past. And ABM, historically, by accident, I'll be the first one to admit that, had been successful in getting some hospitals. So by merging all those 3 segments plus our existing parking operation on the health care side, combined, we will have a $200 million vehicle. Doesn't sound that big, but at the same time it's big enough to be a player. And we'll spend probably the first year in finding out how to put it together in the marketplace and create the platform for growth going forward. I would also like to say that the talent base we acquired when we bought HHA is very exciting. And our existing management in our ABM Health group is very talented as well, so we have a lot of talent with a lot of specific knowledge about this particular market. So again, I'm just asking for a little luck. We have all -- the foundation is in place, the people we have. We have the technology to focus on the technical side. So again, little luck, and in 2 or 3 or 4 quarters, I think we're going to talk about a very successful growth story here. 
Andrew J. Wittmann: And this is great. So the -- on the acquisition strategy, just in general, Henrik, you guys are always looking for deals. I think subsequent to the quarter, you've clearly been active here. Is this level of activity in the future? I mean, is the pipeline still a little bit more robust today than it was maybe 6, 9 months ago? Should we expect some of this acquisition activity to continue? 
Henrik Slipsager: Well, first of all, I want to say something because my risk profile, the client risk profile I have communicated to the outside world is not changing. So if you do the math, you can see the room I have to do short-term sizable acquisition is simply not there, if I have to use existing liquidity or capital. So we've done 3 acquisitions. We are going through a major reorg. It is very important now that we focus on finalizing the reorg, putting these companies together, create the right growth base and then we can go look at further acquisitions. But you'll never -- I'll never say never, but I wouldn't expect any major acquisition in the next 12 months. But if something comes up that's incredibly accretive and valuable for our shareholders, of course, we will look at it, but prudence, I think, is the right word for the next 12 months. 
Operator: I'm not showing any further question at this time. I'd like to turn the conference back to Mr.  Slipsager for closing comments. 
Henrik Slipsager: Well, thank you very much for supporting our company in 2012. We are, as you hopefully can hear, very excited about 2013 and looking forward to talk to all of you in March of '13. Thank you very much. 
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect, and have a wonderful day.